John Crosse: Morning ladies and gentlemen, welcome to the Royal Mail's Results Presentation. Most of you will recognize my voice, its John Crosse, Director of Investor Relations. Just before we start, I just wanted to draw your attention to the usual disclaimer in our release this morning on forward-looking statements. This sets out examples of the factors that can cause actual results to differ from any forward-looking statements that we may make. The principal risks and uncertainties which could affect the group was set out in today's release and they'll be included also in the annual report which will be published next month. All of these risks and uncertainties have the potential to impact the group's business, results of operations, financial conditions, and prospects adversely. And without further ado I shall hand over to our Chairman, Keith Williams who with the Rail review white paper out today is I think going to have a busy day today Keith. Over to you.
Keith Williams: Yes. Thanks for a long time arrival. Good morning everybody. As you know it's been an unprecedented year and we've seen a huge amount of change from where we thought we started the year to where we actually finished and that brings out our adaptability. And I'd just like to pay a huge tribute to both the management and colleagues across the business for their endeavors and their hard work during the year to get us to the results that we got to in the end. I'd also like to pay tribute to the Board who have not only given up their time during day as well evenings and weekends as the year has developed to ensure that the group has kept on track. As you know it's been a year of change and that's demonstrated just by one simple fact if you look at the makeup of the business as it is today almost three quarters of the business actually relates to parcels, up from 63% the previous year. And that brings out that customers are changing their habits not only during the pandemic, but what we're seeing is an acceleration of society change more generally. If I look to the results, these are pleasing set of results. And I think we've made good progress with the new management team on some initial steps. For Martin in GLS, it was a step back to look at the business, deal with accelerating trends into B2C, and fix underperforming entities within his group of companies. He's done that and investors who have seen his presentation to the market at the end of March can see his plans for the future. These are ambitious plans, but we're seeing good early progress and we look to supplement them with additional organic growth and potentially where appropriate inorganic opportunities. For Simon, the target was more simple if not more difficult to accelerate the transition into meeting what our customers want more items at more times of the day and improving efficiency. I said last year that we needed to pick up the pace on that. He's only 20 weeks into the job, but the early signs of progress are encouraging. For Mick, at group level, we wanted to ensure that we maintained the financial investment that was required to support the business in its transformation in both businesses. But on the basis that both companies should be self-sufficient in supporting their own needs and we've done that. We've maintained a strong balance sheet because of the uncertainties ahead and the Board will take a cautious stance on future dividend policy. However reflecting the progress that's been achieved within the business and our confidence in the future, the Board will adopt a sustainable progressive dividend policy and expect to propose a full year dividend for 2021-2022 of £0.20 per share to be paid one-third at the interim and two-thirds the just the final dividend as the final as a final dividend. From 2022-2023 the interim dividend will be one-third of the prior year's full dividend. And with that in mind I'll pass over to Mick to talk you through the numbers. 
Mick Jeavons: Thanks Keith and good morning everyone. So I'll start with the headlines from last year before moving on to outlook and then capital allocation and future dividend policy. I think we're all delighted with the results we have published today, especially given where we were 12 months ago. Our people have done such a fantastic job this year in hugely difficult circumstances and the product of this agility and the pride our people take in delivering for our customers is there to see in financial results that we're publishing today. The pandemic has really catapulted us forwards. Revenues growing by 16.6% to £12.6 billion fueled of course by the growth in B2C parcels in both of our businesses and across all of our geographies. This revenue step up has resulted in a more than doubling of adjusted operating profit which has increased to £702 million with margin increasing by 260 basis points to 5.6%. EPS has grown to 52.1p. In-year trading cash flow has been similarly strong at £606 million on a pre-IFRS 16 basis. Net debt reduced to £457 million as a result and excluding operating lease creditors we actually had a net cash position of £622 million. Given the improving trading position we saw across the year as Keith mentioned the Board announced back in March, it would reinstate on a final dividend of 10p per share in respect to FY 2021. I'll say more on future capital allocation and dividend policy in a short while but we're pleased to announce today that we're introducing a new progressive ordinary dividend for FY 2022 expected to commence at 20p per share. Moving on to the UK business. We all know just 12 months ago we were anticipating that Royal Mail was on the brink of plunging into material losses but roll forward to today and whilst we're the first to accept that there's plenty more to do to fully turn the corner that picture has changed really quite materially for the better. We saw revenue increasing to over £8.6 billion or around 12% as the huge growth in parcels more than offset the hits we had to our Letters business. Costs increased though at the same time. But behind all of that the growth has allowed us finally to benefit from our operational gearing allowing margins to grow 4% and adjusted operating profit to increase to £344 million. Some more details on the 12% revenue growth an increase of £929 million in the year. It was all about parcels of course up 38.7% on 32% volume growth. Account parcels were up 48% within which tracked volumes the product predominantly used by e-retailers were up 79%. Letter revenues though were down 12.5% and that was a significantly better outcome than had been anticipated earlier in the year. This was assisted by a partial recovery in advertising letter revenue in the second half but also businesses clearly cope better with the lockdowns later in the year. And this coupled with the price rises we put in through some of our letter products in January 2021 allowed us to exit the year in an improving position.  We've updated the monthly volume trend slide that we shared back in November. So you can see how the full year played out. I have split the year into three periods to highlight the varying performance. You can see how in the first quarter, when the UK was in its first lockdown both parcels and letter volume shifted really quite massively.  Then through the summer with the relaxation in restrictions that shift diluted. The improved letters performance starting to promote revenue growth for the business. Interesting bit for us and the thing that really drove much stronger performance towards the back end of last year was that with the renewed lockdowns in November and December, whilst parcel volumes stepped back up as the high street closed of course, letter volumes actually remain quite stable with how they've been through the summer.  On to UK costs. Expenditure was up 9.2%, driven by a number of areas that we highlighted during the year, so the costs of dealing with COVID-19, higher international conveyance costs, the higher costs of handling parcels, the cost of our management restructure.  I've given a bit more detail on the slide on some other movements today, just to fully bridge out the year. The other items include higher commission payments we made to post office in respect to the much higher sales they made through their network. The £105 million of savings, represents a £90 million towards the £200 million two-year non-people cost reduction target plus £15 million of managerial cost savings in the year. The frontline pay costs related to a deal done earlier this year with the Communication Workers Union.  Moving on to GLS, where financially I had -- we had a really strong year as well. I'll just give the headlines today as we covered this really quite comprehensively back in March. Operating profit was up 72% to £358 million. It's a much improved margin of 8.9%. Revenues up almost 28% to over £4 billion, the highest growth in those countries. The highest growth was in those countries already well pointed at B2C, so the likes of Denmark, Spain and those businesses in Eastern Europe.  At the same time GLS contributed €301 million towards its €1 billion cash generation target from its Accelerate plan. So it's off to a really strong start. We were particularly pleased with the margin expansion in GLS. Historically, we believe the mix shift towards B2C parcels might be a potential margin dilutor. Domestic deliveries are often associated with more expensive to service final-mile costs. But instead the scale effects they were able to realize with the higher volumes actually assisted the unit cost development and allowed them to step forwards their margin.  A few words on the in-year trading cash flow, which was good at £606 million on a pre-IFRS 16 basis so including the costs of lease payments. EBITDA was of course, improved commensurate with the improved performance in both businesses, while CapEx remained broadly flat at £346 million.  The working capital position for the year is a net of an improved position in GLS and a worsening position in Royal Mail. GLS benefited from a positive working capital movement in March relating to the timing payments around Easter, whilst Royal Mail saw increasing trade debtors linked to increased sales. The prior year also included some items, which flattered the position in that year. Cash tax payments obviously, increased as the profits improved.  At the bottom of the cash flow, you'll note we've now split out cash flow between Royal Mail and GLS. The main movement in net debts relates to the in-year trading cash flow already described; other changes including FX movements on converting our bonds and newer increased lease obligations, including the first of our new parcel hubs in the northwest of England.  Given the ongoing risk backdrop, the Board is pleased with the current liquidity position and the conservative funding position on the balance sheet. We're also clear that as our confidence in the future sustainable performance of the business improves, particularly in the UK that there's potential for the degree of conservatism here to be reviewed.  Moving on to outlook. Now we all recognize here that the big question is what happens next as we hopefully move out of the pandemic. So I'll start with Royal Mail first and I'd like to begin with an observation on the comps from last year. The chart shows the really quite different revenue outcomes when I compare the first half and second half performance last year. Parcel revenue growth was 10% higher in the second half than it was in the first half, a combination of volumes and mix.  And on letters, revenue decline was much smaller in the second half only 5% down compared with over 20% down in the first half year. That dynamic and that half-by-half split drove our improving top line performance last year. Now that not only leaves us with some rather strange comps across the year for the coming period, but also with comps that become increasingly difficult to match as we run through the year. This volatility means the UK revenue outlook is just too uncertain to offer specific guidance on at the moment.  Our April 2021 result illustrates the uncertainty really quite well. The main purpose of this slide is actually to highlight that the unwind from the impacts of the pandemic is likely to be just as volatile as when we entered it. We're now lapping the first lockdown. So as I said, the comps are really quite odd.  In April this year the month just gone, we experienced year-on-year parcel revenue growth and year-on-year letter revenue growth in the month. It's a while since we've been contemplating letter revenue growth I have to say. But it's also interesting that revenues are flat with where they were in April 2019 in our letter stream. So there's some really odd dynamics for us to reflect on and continue to reflect on as our performance unfolds and as the restrictions are lifted in the coming period.  We shouldn't read too much into one month of data, but just so that everyone notes we're now starting to track our performance not only against the prior year, but also against the pre-pandemic position as well. So if we're not offering guidance on revenue given the uncertainty what can we say about the coming period? And what I've tried to do on this slide is lay out the blocks for people to consider. Now we certainly entered the year with some good tailwinds. I've already mentioned April performance and the revenue performance year-on-year being up. But what about costs? Firstly, we know that we'll benefit from the impacts of the cost reduction activities that we brought in this time last year, including the management restructure and the non-people cost program.  So if I roll in the frontline pay deal that's already been done, there's already around £133 million tailwind on the cost side that we entered the year with that's done. Then what we've done is tried to give you some of the other moving parts as we currently see them. On the positive side, we very much hope to make progress on changing the operation following the deal with CWU at the start of the year. But of course, we hope to be able to reduce the costs of dealing with COVID-19 as the restrictions are removed. So we've made an estimate here given on the current government timetable, but the extent to which we'll be able to do this is obviously subject to that timetable and how it unfolds. The non-people cost reduction is also currently on track to complete this year. There are those cost pressures to consider as the transformation investment peaks, the associated OpEx costs also increase. We'll also invest in improved service and convenience for customers. Our service fell short at times last year. So, we plan to rectify this. And also improve service by accepting more parcels into our network later in the day and by delivering on Sundays, something we've already started and Simon will cover this in a bit more detail later. To some degree these extra costs can be flexed according to the progress we see during the course of the year. But if these cost blocks play out like this then there's another £75 million of net improvement in the projections. On the right-hand side there's potential cost of reinstating management bonuses which of course will be subject to the achievement of certain targets in the year. So I think we can be reasonably clear on the areas to watch on cost. But as I said earlier revenue is much harder to project. We believe the pivot, we've seen towards parcels means that we're now set to grow the top line in the medium term but we also see that the short-term will be volatile. We're going to the year with some great tailwinds benefiting particularly from the improved performance on letters and continuing strong past performance. This could well lead to first quarter and even first half performance being reasonably strong. The second half though is much more difficult to call as at that point we'll be lapping what was an exceptionally strong period last year and there's a chance that the unwind of the prior year lockdown benefits could be quite marked. Given our operational gearing this uncertainty and the likely volatility on the revenue line drives a read across material uncertainty for Royal Mail on the profit line. To help illustrate the point, I have provided some sensitivities including information on our operational gearing illustrating the short term so within 12 months marginal impacts of growth or decline in letters and parcels on our profitability. The proportionately high fixed costs of the network mean that profitability is extremely sensitive to the movements in the revenue line including the relative movement between letters and parcels. Moving to GLS. The outlook is just as communicated back at the end of March. Last year we saw strong parcel growth across the year and particularly strong during the main lockdown periods early and late in the year. For GLS, we've used the low point of the growth rate during the summer of 2020 as an indicator of the structural change driven by the pandemic so around 15%. So whilst, GLS does expect some unwind from the peaks of lockdown, it still estimates it can marginally grow the top line this year although margins which were flattered by some one-offs during 2020 will reduce slightly to more like 8% still significantly higher than the entry point to the pandemic.  A few words on what we see on investment. In Royal Mail, some maintenance and some transformation investment has been delayed during the course of the pandemic and as now price starts to hit us in the next year or 2 mainly since the construction and fit-out of our new parcel hubs our two new parcel hubs is at its peak. Whilst, within the currently communicated transformation program investment does step back down by '23, '24. There is expected to be a step down to a higher base of investment. The new higher mix of parcels is causing us to review the extent to which our network assets are fit for purpose. So, some of our delivery office is large enough? Do our delivery vans have enough space for the volume and size of the parcels that we're now having to handle? There'll be some extra costs in those lines. Plus, also of course we're evaluating our approach to environmental sustainability. This review is work in progress so we'll say more when it's complete. For GLS, investment increases but stays within the 3% to 4% of revenues guidance we provided in March. I should say a few words on pensions. The closed defined benefit plan RMPP is due to commence its triennial valuation this year. The plan is extremely well funded. And whilst it's very large it offers negligible future risk to the group. Our program working with CWU to look to introduce the UK's first CDC scheme has made really great progress this year. With the required legislation receiving Royal assent earlier that it's earlier in the year. There's still much more to do in the coming period to make the plan a reality with regulation still to be drafted and lots of governance processes to deploy. But it's an area we're really excited to move forward with for our people as soon as we practically can. The ongoing costs of this new plan just to reiterate are likely to be broadly similar to the costs of providing our current cash balance pension scheme. A few words on capital allocation. In the light of the improved recent performance coupled with the ongoing uncertainty, the Board has reviewed its approach to capital allocation and dividends. We're now confident in spite of the ongoing uncertainty that both our main businesses will generate cash sufficient for their own organic investment purposes. So, whilst CapEx is expected to step-up in the coming period, we don't anticipate the need for cross subsidy between the businesses. We'll prioritize maintaining our investment-grade credit rating. And given the high operational leverage in our business, we'll continue to keep low levels of financial leverage. In the current risk environment, we believe winning a net cash position for the group which is where we are currently is appropriate. We're fully committed to our new dividend policy founded on a progressive ordinary dividend of 20p per share for next year. Following management changes in the last period and our focus having been on running the business through the pandemic, moving forwards we'll now start to evaluate M&A opportunities that complement our position in our current market. We want to maintain a good degree of conservatism on the balance sheet for now, but we're very aware that in more stable times there's an opportunity to review the position. So, we'll evaluate this regularly over the coming period and will return any cash we consider to be surplus to shareholders. So, in summary really great results last year and a really positive momentum into the new year. Our people have shown real agility and a real resolute customer focus in the face of the pandemic and this gives us a real hope that we can harness whatever opportunities are there for us into the future. The balance sheet is robust, and we've announced a new progressive dividend starting at 20p for FY 2022. There's still though uncertainty in the top line, particularly in the next 12 to 18 months and we'll have to wait to see what unfolds there. We do believe though, ultimately we will be a growing business in both GLS and Royal Mail. In Royal Mail, we still need to transform and get fit operationally. And our deal with CWU gives us a platform to move forwards with. We really can't waste the opportunity that's been handed to us by the revenue switch that we've seen during the course of the last 12 months. In GLS, of course, we need to get on and deliver the ambitious Accelerate plan that Martin outlined in March. And that's a neat segue I hope to hand over to Martin now to take people who maybe didn't hear his story in March to take people through the headlines from that. Thank you.
Martin Seidenberg: Yeah. Thank you, Mick. Today, I will briefly talk about our strong financial performance and indeed summarize the key elements of my presentation from 30th of March, where I outlined GLS' new strategic priorities. Starting with our financial performance. And as Mick already pointed out to you, 2020-2021 was a record year for us and I'm really proud of what our team has achieved. During the year, trends in our markets accelerated and as a result of the pandemic, we saw 26% growth in parcel volumes across our footprint. The revenue increase of plus 25% to €4.5 billion was also driven by strong growth in countries which already had a relatively high proportion of B2C volumes before the pandemic, including in Spain, Denmark and as well as Eastern Europe. Our operating profit increase of plus 68.5% with an operating margin of 8.9% benefited from scale effects, price initiatives, certain markets more cost containment and efficiency measures as well as strong improvements in our focused countries U.S.A., France and Spain. This result is well supported by our excellent operational performance during the lockdowns, as we remain fully operational for our customers in all GLS countries. Looking ahead, we believe that approximately 60% of the volume and revenue growth can be sustained post the pandemic. We have a winning set of strengths and have developed a clear strategy to further grow. This will enable us to benefit from the changed market dynamics and unlock our full potential. So what are our key strengths that makes us successful? We connect Europe. GLS is a truly international parcel business. Our presence covers almost all European countries, plus quite some ground in North America. With our own European network, we connect all of our local country operations. Wherever a customer wants to ship a parcel, be it within a country or be it across borders, we can do this in one network, one quality and a superb speed, which supports a hassle free and seamless delivery experience for our customers. The way we manage networks and the way we operate allows us to be very quick and flexible when situations change. That's also what I mean by GLS is first to act. When countries went through lockdown and deliveries to private address is searched from one day to the next, we scaled up our network significantly within a few days also thanks to our flexible base of delivery partners. The whole GLS network dealt with the challenges of the pandemic extremely well. Furthermore, we speak the local language. Whilst we served many countries, GLS is managed and run in a very local and entrepreneurial way. Each country organization is a company in its own right to ensure we are close to the market. Every customer is served with a local touch and also especially local services. This is another distinctive advantage we have. We act local, whilst we benefit also from our international reach. And finally, we have extensive parcel and management expertise in our team with a very valuable mix of industry experts, young talent and top managers that have been with us since we started this successful GLS journey. Now to make sure that we continue our successful journey, we have initiated the strategic program Accelerate GLS. As part of Accelerate GLS, we are going to focus more strongly on and invest into our core strength. We will take the tailwind that we are currently experiencing into the coming years. Our focus is driven by market dynamics that have accelerated during the pandemic. E-commerce and cross-border business have grown strongly. Customers have seen parcel deliveries as a part of their life and are increasingly looking for easy transparent and sustainable shipping solutions. Accelerate GLS tailors our business to the world after COVID to benefit from the significant market potential and deliver superb results to our shareholders. So what are the focus areas of our strategy? Firstly, we invest further into our international strength. Cross-border business will continue to grow. So we will invest further to reinforce our top position as a cross-border player. Our plan is to outgrow the cross-border market by delivering 16% CAGR against the market that is expected to grow by around 9%. To get there, we have established a clear strategic plan, which we are already executing. We've started to significantly upscale our international network capacity and further investments to come. We will serve more European countries and cities with point-to-point direct lines, improving our pace of delivery across borders even further and securing profitable margins. New products and services will be added to our international portfolio. Already now for example, you can ship and return your shipments via our parcel ship network across all of Europe. Secondly, we will invest and strengthen our position in B2C, whilst maintaining our leading B2B footprint. B2C business will grow and B2B business will remain relevant. We plan to outgrow the B2C market and deliver a 17% CAGR against the market that is expected to grow around 10%. Almost two out of three GLS shipments will be delivered to private companies by the year 2024, 2025. How are we getting there? We need to cater for this growth by investing into our domestic networks. For example, we are developing new depots and expanding existing sites in almost every country with a focus on our high 2C growth countries. We've already started with these investments and we follow a clear plan for the next years to enlarge our capacity and continue to deliver high quality. We're also increasing our focus on developing our 2C products and services to improve convenience for our customers. In addition, we will be positioning the GLS brand even stronger as the parcel ship of choice for the C2B and cross-border customers. And finally, digitalization and sustainability will be key market differentiators. So we will continue to focus and accelerate in the areas of innovation and sustainability to meet customers' needs. This provides a distinctive competitive edge for us to achieve our aspirations. This is about providing our customers with the right delivery experience. Customers want to see and influence when and where the parcel will be delivered. The delivery needs to be smooth to ensure what we call customer happiness, and that's why we focus on delivering new and developing new convenient mainly app-driven solutions for our 2C customers. We increasingly provide services like for example live tracking, in-flight rerouting of parcels and also dedicated to see unique delivery options. So in a nutshell, everything that makes parcel delivery a fun rather than a stressful part of the day is what we focus our digital development on. Another important focus area for us is sustainability. We are committed to providing sustainable solutions, and we've already made some good progress. Already today, we serve more than 60 inner cities with e-bike, e-vans and e-scooters providing inner city carbon-free delivery to our customers. We will steadily increase our fleet of electric vehicles and greener world across Europe. Our EuropeanEcoHub in Germany for example is largely independent from external LNG and water provision and features e-vans and electric bicycles for inner city deliveries, and in Germany, Netherlands we already ship every parcel fully carbon neutral. So sustainability is already embedded into our core and we will continue to take the necessary steps to contribute to a greener world. These are the main components of our Accelerate GLS strategy. This program is already a reality and in execution, and it will pay off in terms of customer satisfaction and growth. Now from a financial perspective, our Accelerate activities will drive strong volume growth with superior financial returns. As announced in our business update on 30th of March, we expect operating profit to more than double from 2019-2020 levels to €500 million in 2024-2025 and we expect to generate an operating profit margin of 8% well ahead of the previous guidance of 6% to 7%. Investment will focus on delivering capacity and technology innovation to continue growing organically. In general, we will also be looking at selective inorganic and value-accretive opportunities as they might arise. Regular capital expenditure will remain within the corridor of 3% to 4% of revenue each year and we are also targeting a €1 billion accumulated free cash flow during the five-years period from 2019, 2020 to 2024, 2025. So to wrap up, I would invite you to take with you four things. The GLS team has delivered superb performance last fiscal year. We are well-positioned to be even more successful in the future. We have developed a solid strategic plan to capture growth, and our strategy Accelerate GLS targets strong and profitable growth in the coming years. So far from the GLS, thank you very much. And now over to Simon. [Music]
Simon Thompson: So, good morning everyone, and I have to say, it's really great to be here. I am 20 weeks in and I confess I am very optimistic. The team has made me feel very, very welcome and a big thank you to everybody I've met. I've been out in the operation at least one day a week, which I plan to continue and it's been great to go to over 50 sites and to hear what the team are talking about and helping them solve problems that they feel need to be solved. Today, I just want to give a sense of how I see things, some shorter-term areas of focus, and ideas for the longer-term growth. But just before I start, I just wanted to say that last year the team delivered, they did a great job and a big thank you from me. And I think importantly, what we learned last year is that when we have common purpose, we can work together to solve new problems brilliantly. We will use that momentum to move the business forward. So let's have a quick look at April. As Mick said earlier on, the market does remain volatile. It's very, very challenging to forecast what will come next, but I thought it would be useful just to give you a little bit of insight. Our parcel volumes are a little down on last year, but they're well up on April 2019. Our parcel revenue remained strong due to a positive mix of both tracked products and consumer products. Our letter volumes are up on last year excluding elections driven by business mail and advertising mail, but they are down on 2019, but our letter revenue remains flat due to the pricing actions that we've taken. And as you can also see all categories are up based on 2019. Clothing and grocery remained strong on last year. Health and beauty and electricals have slowed a little. The market is volatile. The month of May might show a different trend. But now let's move on to the future. Reinvention of Royal Mail for the next generations, but with a very clear mission to own trust at the doorstep. There are three key pillars that we focus on to deliver the trust at the doorstep: being brilliant for our customers, having trusted relations everywhere in our business and to grow our business. But of course, we also need to improve our productivity that is our ticket to play. In 2019, we said that we would achieve a 5% margin by 2024. Based on my time here I have to say that 5% is the low end of my expectation. The early impressions I have is we'll achieve it sooner than 2024. And once we've done that we will raise our sights again. By the end of the year this is what we will achieve. This is what a good year looks like for Royal Mail in the UK. Quality for our customers. Achieving our quality of service target and being number one for Net Promoter Score for both those retailers that send parcels and our consumers that receive those parcels. Trust inside our business everywhere with a step forward on our internal trust score. Simplification of our business by trusting our managers and simplifying what they do every day. Making a step change in automation by accelerating our automation to at least 50%, 70% would be better. Let's see where the team get to. Delivering our CWU agreement on time and realizing the benefits that it brings. And also delivering £110 million of non-staff cost savings completing our promise of £200 million over two years. We have a wonderful competitive advantage. It's our people and the relationship they have at the doorstep. They have a disproportionate positive impact on how our customers feel about us. It is magical. It is defendable. It is uniquely ours. You can have an awful lot of money, but this relationship is priceless. It is something that we have. It is also a relationship we can use to drive growth. As long as we are as good as everybody else in all of the other criteria, this gives us a clear competitive advantage to grow our business. Quality. The team have a very clear mission. We want pre-COVID quality in a COVID world as well as number one for Net Promotor Score as I mentioned earlier. As you can see on the chart we have made some very positive steps forward in improving our quality of service for first-class products. We are now getting closer to the Ofcom target. I have to say recently some weeks we have been at 90% and some areas of the country have already been on target. From the 21st of June and subject to government guidance, we will have two people back in a van. And it's worth noting that those two people in the vehicle deliveries are around about 55% of our overall deliveries. And the chart at the bottom shows our clearance. This shows how we have cleared parcels and letters within our delivery operations. And again, we are getting very close to our 100% standard. It's worth noting that our parcel performance particularly our tracked parcel performance is good for both Royal Mail and Parcelforce. Quality is a must for our customers. It's also a must for our trust agenda. Trust with our people is our big unlock. Trusted relationships means that we can do anything together. It means, we can deliver change in a positive way. We have to recognize that we have had industrial relations tension. Perhaps we have some scar tissue that will take a little time to repair. As you can see on the chart we did a survey. In February, we did another one just the other week. In terms of how our people feel valued we have made some steps forward. In terms of how our people feel about being involved in decisions that affect them we have made some steps forward. But the one to really focus on today is how proud the team feel to be working for Royal Mail. They feel as proud as I feel. It's a wonderful set of statistics. I would just like to say a big thank you to team Unite and also team CWU who have been supporting us brilliantly on this particular agenda. Thank you. I mentioned at the start that we also need to trust our managers more. We are in the process of simplification within our business. This particular initiative is called DILO or Day in the Life of. It's very much focused on our delivery office managers that lead our 90,000-plus frontline teams. We were asking them to do 126 things a day. That's something every four minutes we were asking them to adhere to 212 policies. We've had an initiative running in sale in Manchester where we're allowing the team, the leader of that team to spend time focusing on issues of the customer, to spend time with their team, to make sure that our health and safety is in perfect shape. We're asking them to focus on doing the right thing, including reducing our policies whilst also keeping ourselves safe from 212 down to 20. In all of our 1,300 offices by the end of October we will have implemented these new ways of working. A big thank you to team Unite who have been very, very supportive and very proactive with us on this particular topic. But I thought today instead of hearing from me you might want to hear from Anna who is our pioneer. Anna runs our office in Sale in Manchester. And I think it's a great example of what happens when we get out of the way. We allow the team to remove low or no-value work and we allow them to focus on what matters, which is customers and our team. Now Anna I am hoping you're out there Anna. Are you out there Anna?
Unidentified Company Representative: Hi, Simon. Yes, I'm here in Sale's delivery office. 
Simon Thompson: All right. How's things today, Anna? How is life?
Unidentified Company Representative: It's a good day, a busy day.
Simon Thompson: Well, we always like that. Well we like to hear good days and busy days Anna, that's a great start. So Anna, just tell me how you spend your day now? And how is it different from before?
Unidentified Company Representative: Well, the instruction to me is to – was to stop everything. So I've stopped all the reporting the numerous conference calls that I go on daily and I now spend all morning on the floor with my frontline staff. So I am engaging with them. I am finding out what they need from me, I am to serve them, so they can deliver the best customer service out there. So I'm engaging with them what do they need for me to do I am able to do it, because I've got the time, I'm able to visit customers, customer complaints and fix any small issues that were faced with that. I'm working with the collection teams and my OM, so that we can look at the collection customers. And it's really given me more time to focus on what we need to focus on which is our front-line staff.
Simon Thompson: And any benefits Anna? Have you seen any benefit at all?
Unidentified Company Representative: We've seen massive benefits. The first month that we solely you and the Royal Mail trusted myself and actually to not do the report and to focus on us that we came first in the contrary twice for our parcel composite measure. We moved from 16th place on our vital few scorecard to 6th place. And we're continuing to do that. We're improving on our complaints, reducing our tracks performance is getting better and better. And the engagement and the trust that we're building here is immense and we can see that it's a reflection in that scorecard that you see today.
Simon Thompson: Yes. So Anna, I think it's definitely the benefit of us getting out of your way. Anna on – from myself and on behalf of all of the other delivery office managers up and down the country, that will enjoy the reality that you faced today by the end of October, a real big thank you. And Anna, I'll come and see you again soon. Thank you very much for coming to see us today. Thank you.
Unidentified Company Representative: Thank you, Simon.
Simon Thompson: So, of course, we also have our CWU agreement. I have to say, I review the progress every day. Terry from the CWU and I discussed at least once a week and perhaps more frequently. We also do visits to sites together. This year we will realize £100 million worth of benefit, £60 million of that coming from revision activity across our delivery and processing the state and £40 million from technology implementations, such as resource scheduler and scan in and scan out technologies. We will complete 1,286 revisions before peak. In terms of a very, very ambitious plan that we set ourselves, there were 71 items that we needed to be on track or completed by last week. We have 70 done or on or that are on track and we have one that we are still iterating but I have to say our progress is excellent. We've agreed new dispute resolution processes, trial processes, productivity measures, productivity flight path, scan in and scan out rollouts, joint network reviews. I am very pleased with the progress. I'm also very pleased with the atmosphere. But I thought today, that instead of just hearing from me, I thought you might actually also like to hear from Terry. So I'm delighted to say that Terry from the CWU is here with me today. So Terry [ph], good morning.
Unidentified Company Representative: Good morning.
Simon Thompson: And Terry it's nice to see you and joy as ever is life good?
Unidentified Company Representative: Very good.
Simon Thompson: Very good. So Terry, a couple of questions for today. Terry the first one is how is this different?
Unidentified Company Representative: Well, it's different because I'm here for a start. So this is the very first time I think that the union has been given the opportunity to speak at this shareholder AGM. So thanks for the invitation. Very proud to be here to represent our outstanding postal workers. And I'm glad that yourself and Keith recognized what they have – especially what they've done during this pandemic but what they mean to society in general. I think what's different now I mean, certainly there's a different – a totally different field. There's an energy. So what we're doing is desire to deliver a joint vision. And that's what we've got and this feels more tangible as a joint vision than we've had for many a year. So there's an ambition and a vision as I've said for – to reinvent this great iconic public service type business. Something that complements, the passion that we've got for it to build upon it, rather than dismantle it, which has always seen to us the obvious thing to do and is certainly what we've wanted. So – and the fact that the agreement is actually evolving as we speak. As relationships are building, the pace that we're delivering you said on the 71 issues we committed to, the pace is being delivered. The excellent work by the operational directors, the CWU national offices, the relationships that are being built. There's a save energy that's going into that. Slowly we've got to filter that down throughout the organization. But the fact that we're doing a revision in every single workplace and every single shift at this moment in time is a massive challenge but that's going well. So no it's still extremely positive.
Simon Thompson: You feeling okay, Terry? 
Unidentified Company Representative: Yes. I'm feeling, this is our moment is how I feel.
Simon Thompson: It does feel like it doesn't it? Terry automation. A good thing or a bad thing?
Unidentified Company Representative: Yes. Listen, I've got to tell you the opportunity to dispel the myth. We've had automation in the postal industry since the mid-70s I think, postal mechanization first started. We've embraced technology all the way of course as a trade union, we represent the interest of our members. And as long as that's dealt with in the right way and isn't a threat to the employment security that we hold so dear. Then we've always done agreements with automation. So it's something that's built up I think outside of our organization that somehow we're opposed to it or trying to block automation. Over the years, we've totally automated the letter process and now we've got to do it for parcels. And we fully understand that not only to maintain our market share which we want to increase but even if you was, your ambition is just to maintain it, we need that automation to process the parcels. And the growth that we've now experienced, which we thought was three or four years off. It's on us now. So we've got to move at pace and we've got to get that in.
Simon Thompson: Yes. I agree, Terry. Now Terry, we could talk for a long time, because I know we catch up a lot. But one last question, just before we leave this piece culture. Because we've done visits together, haven't we? Importance of culture in your view?
Unidentified Company Representative: Massive. Massive, one of the most underestimated things I think in business actually. I think if you change – if we change the culture successfully in Royal Mail to what we want it to be the trust in all parts of the business, et cetera. Then I think, culture is a one thing that changes everything. Everything we want to do, if you've got a good culture is enhanced, your ability to deliver that is enhanced. So postal workers loved and trusted on the doorstep that's without question. But to not feel like that within the organization is a weakness. It's I think it's one of our – we can talk about investment in automation I think it's one of the biggest untapped assets and resource, the vocational sense of purpose of postal workers. You get them in the right place culturally. We respect them, we listen to them, focusing on the workplace, not just having conversations up here and in a London office somewhere, but actually understanding what the challenges are in the workplace and you've just seen an example of that is key. So I think, we totally shifted the agenda. I think that was button on the agenda previously. Now it's top. To have an organization -- we get the culture, right, a culture that all of our -- all the employees in Royal Mail, all the postal workers would be happy for someone of their own family to work in that culture. The sense of pride they will get out of that, I think makes us the business of choice. The business of choice to be employed in, the business of choice for customers and consumers et cetera and especially for businesses because we're -- being associated with us, will enhance their brand as well and the choice for investors. If people are looking for in ethical investment, this we believe applies to that.
Simon Thompson: So look Terry, can I just say thank you very much for coming along to see us today. It's an absolute pleasure to see you.
Unidentified Company Representative: Thank you, Simon.
Simon Thompson: And we will be talking soon. As you know, we catch up on a regular basis. And I think an example of the benefits of common purpose and a big thank you for Terry for coming and joining us today. We mentioned automation and we need a step change in automation. We need to reach 90% for parcels by the end of 2024. We're currently at 33%, the same as last year, but 80% more volume through the equipment, so 10% more PSMs, 80% more volume. This year the challenge for the team has been set. We need 50%-plus exit rate by the end of the fiscal year. I'd much prefer 70%, let's see where they get to. And when you consider that our parcel hubs will come onstream, Northwest in spring of 2022; in the Midlands in the summer of 2023. That means, we've got another 25% to problem solve within our operations. Automation is not just about cost. It's also really good for quality. It's good for later acceptance times, which is a really important thing for our retail customers. It's good for capacity, but it's not all a bank new equipment. It is also about new ways of working, how we use this equipment. So again, on my travels, I met somebody in Swindon and I thought, it would be great for you to meet which is Jess. Our first parcel sorting machine was actually in Swindon. Jess and the team didn't have the benefit of a lot of benchmark activities and a real clear rule book. But what Jess and the team managed to do is do something that perhaps the machines weren't designed to do. Jess, are you out there anyway today, Jess? How are you?
Unidentified Company Representative: Hi Simon, I'm here. I'm very well. Thank you.
Simon Thompson: All right, Jess. Well, look it's lovely to see you again and it's nice to see that you're well. Jess, first parcel machine in Swindon, you have no manual. And I hear that the machines were designed to do something like 70,000 parcels within the shift and you got it to 92,000. So Jess, how did you do that?
Unidentified Company Representative: I'd say engagement has been a key part in achieving that 92k. It's been really important for the staff to understand, why we have a parcel sort machine and why we need to automate as many parcels as we can. We were the first PSM site and we weren't really sure what the PSM was capable of doing. Once we took the time to understand the machine and what it needed to do, we set our own stretch and targets. We create action plans to achieve those targets. And once we had delivered on those targets, we would gradually improve on them to get to the 92k. So [Technical Difficulty] we reduced our sort time. We bettered our induction. But more importantly, we've created a work plan, whereby we never run out of mail and that's by processing a variety of different products.
Simon Thompson: Well that's great Jess. Sorry, Jess you carry on. Don't let me stop you. You keep going.
Unidentified Company Representative: And also utilization has been key as well. We have eight hours in a shift that is really important for us to process parcels for the full eight hours. So that means starting at two and finishing at 10.
Simon Thompson: Now, Jess, I remember when we met, you talked about the pit stop, which from my memory, I think it saves sort of one hour out of every shift? I might be right, I might be wrong. Correct me, if I'm wrong, but the pit stop Jess, what did you do?
Unidentified Company Representative: Yes, that's correct. So originally, we're running 70k, 75k parcels. And then once we have to start processing a variety of different parcels, we had to put a plan changeover in and as I referred to the pit stop. So, we put a process in now, where it takes us three minutes. That process is we will prepare the yorks ready on the sorter. Once we're ready to tip the new product, we will give an eight-minute warning to the sorter guys and the induct operators. Once the new product has reached the inductors, we will then close all of the hatches. We will then start processing new product and it takes three minutes.
Simon Thompson: And I think before Jess remember, it was 20 or 25 and so that's how you save that one hour per shift. And Jess of course, we look forward to seeing the 92,000 target on every shift, everywhere sometime soon. And thank you very much for pioneering this work and sharing your story today. Jess, I will come and see you soon again, but thank you for your time today.
Unidentified Company Representative: Thanks, Simon.
Simon Thompson: And I think again, it's a good example of the benefit of giving the team, the accountability to solve the problems. We also promised £200 million of non-staff cost savings. We are on track to deliver. We made that £200 million promise. Last year, we delivered £90 million. This year, its £110 million of which £40 million will be flowed -- will be a flow through. We're focused on discretionary spending. It's also worth adding at this point in time that the team delivered the £130 million of management headcount cost savings. But there's something else. The best companies don't only grow. They also grow their market share. Our view is more things to and from customers more often. And I wanted to share five things with you today. Two things that we are scaling, Sunday and parcel Collect; two things that we're trialing, instant pain relief as we call it and choosing green; and one thing that we are iterating, reimagining the stamp. So let's start with Sunday deliveries. An extra day for all of our customers and an extra day for us. We started this service on the 14th of March as a trial and we are now scaling. It's a big and it's a growing opportunity. It's worth noting that Sunday is the biggest day on the High street. It's not yet the biggest day in our industry. We currently have an annualized rate of around about 10 million parcels per annum. The question we're asking ourselves is, can that be 50 million? Can it be more? And how big will the Sunday market grow to? Our quality is good on a Sunday. We're really encouraged by that. And when we've spoken to our retail customers they have said, if you want next-day delivery Monday, Tuesday, Wednesday, Thursday, Friday and Saturday, you also need to give us Sunday. We've given them that Sunday. Operationally it also brings some opportunities to flatten Monday, which will be better for the operation. And as the year moves on and as our volumes on a Sunday grow, we believe that Sunday will be profit additive. But we're also scaling something else. Why would you drive park and queue to drop a parcel off when we can come to you? We believe it's a great proposition. We are uniquely placed to own this. It is very profit additive. The total drop off pickup market is around about 500 million items per annum. The doorstep element is less than 15%. And as you can see on the chart, our current volume is still relatively small. We've been listening very hard to the customers and they have told us there are four problems to solve. You need to make it really easy to book on the app. We need a window of when you are going to come and collect the product. We don't really want to print a label off, we might not have a printer. And the wall that we're still thinking through, is we don't really want to have to think about and worry about packaging. We're starting to trial these problems to solve and we'll be able to share more later on in the year. We also found out speaking to our retail customers and if everything else should remain equal. 30% of their customers would prefer for something to be collected at a doorstep rather than dropped off. And we're asking ourselves, could this be a 50 million items per year business, and we're also asking ourselves what should the price be? But we're also trialing, we're trialing what we call instant pain relief of same-day prescriptions. Doctors' appointment online at 8 o’clock, online for pharmacy platform at 8:15. In our operation soon after and with the consumer, the same-day or perhaps if you're close to one of our operations, the same morning instant pain relief. We've been trialing this in North London and in Leeds and we're very encouraged by the customer reaction to it. There are one billion prescriptions per year dispensed outside of the hospital environment. Online is still very small but it doubled last year. Structural change. There is a structural change in how doctors do appointments. We have a hyperlocal network. We have trusted people. We have a trusted brand. And we've really been testing some of this thinking with Pharmacy2U. We believe it's a growth opportunity, and again we are asking ourselves is that 150 million items or a 300 million item business. We are very, very curious. But we're not the only people who is curious. So I thought what you would like to do is listen to Mark. Mark is the CEO of Pharmacy2U and this is what he thinks.
Nick Landon: Today I'm joined by Mark Livingstone who is the Chief Exec of Pharmacy2U. A fantastic customer of Royal Mail that we worked together with for many years and together we are looking to speed up the delivery of key prescriptions and other over-the-counter medicines instant pain relief. If people get a prescription or they need one of those items then we can process it between our networks and delivery it to them the same day. So Mark before we get into that could you tell us a bit more about what's the last year have been like for you, what has it meant for Pharmacy2U?
Mark Livingstone: Yeah. Good morning Nick. Thank you very much for the invite. Great to be speaking. It's been one heck of a year as you can imagine, obviously, people stayed at home a lot more. They have really valued the convenience of what we offered as a service and together with Royal Mail, we shipped now over 0.5 million parcels a month, we've grown by over 70% in the last 12 months. And together with Royal Mail, very much looking forward to how we can further innovate.
Nick Landon: Can you tell us a bit more about what we're doing right now? 
Mark Livingstone: Yeah. So we've got a four phase product, project I should say. The first phase is already live. So within Yorkshire, you can order OTC or pharmacy-only medicines. There's a range of about 250. If you order by mid-day today, we will deliver to those Yorkshires post codes through Royal Mail by the end of today. So that's phase one of the project. Phase two is a next-day national service for our repeat medication customers. We then rollout our next-day acute service. So that's when if you have a more acute medication you want within a day, you have the ability to order by just before midnight of one day and had it delivered by the close of play the following day. And then ultimately, we are working with Royal Mail initially in Yorkshire on a same-day acute service and that will be ordered by mid day, get it delivered by the end of the day same day and that's our, kind of, panacea. That's what we would then like to develop nationally as a proposition with Royal Mail. I think the trusted doorstep that the Royal Mail has and the partnership that we have, we can continue to innovate together.
Nick Landon: So instant pain relief for those customers. And as you say our ambition to roll that out nationally across the U.K. to enable people to get that relief when they need it?
Mark Livingstone: To me, I think everyone's lives are all about getting what they want as quickly as they can within a convenient environment, and obviously the very best in our world with accuracy and that's what we will offer with Royal Mail.
Nick Landon: How big could this become? How important is that relationship going to be over time?
Mark Livingstone: Yeah. I mean we already do over 0.5 million parcels with you guys a month. And clearly our ambitions are to grow very rapidly in the right way. By the way we're not going to grow the growth sake, we're answering consumers' needs. We see no reason why this sector can't continue to develop.
Simon Thompson: So a big thank you to Mark for his collaboration. We really appreciate it. Thank you. But also choose green, another trial that we have commenced. It's our structural advantage. Is this a future trend? We're really wondering when you select your parcel provider, I think it's been about speed, I think it's been about price. But is the next decision choice going to be about the impact of that delivery. Our retail customers are also wondering about this and we do have our structural advantage, because of our feet on the street model, 126 grams for foot only delivery per parcel, 160 grams for van and foot. And very soon in Bristol, we will have an all-electric final mile delivery fleet, which means that whether it was in a van or on foot, the 126 grams for our customers in Bristol very soon. On electrification of the fleet, we have been looking in fine detail at whole life costs. And we think there's a positive business case of electric versus diesel final mile vehicles. But, we want to test that hypothesis in real life, and we'll be doing that in Bristol. But we're not alone in wondering about whether customers will choose green. THG, one of our retail partners, are also very interested and I thought you'd like to hear from them.
Nick Landon: Well, I'm here at The Hut Group offices in Manchester to talk to John Gallemore, their CFO about their relationship with Royal Mail and how important green deliveries are to them and their customers. So John, can you tell us a bit more about the, The Hut Group to start with.
John Gallemore: We think of ourselves as a technology platform that takes brands direct to consumers all over the world. Last year, we grew over 40% and our revenue was £1.6 billion. Most of our revenue is across our own brands, and we also concentrate in four key categories: Premium Beauty, nutrition, on demand which is a personalization licensing business, and THG ingenuity, which a technology services solutions that we provide for our clients.
Nick Landon: That's brilliant. I mean a really fantastic company. Can you tell me a bit more about your relationship with Royal Mail? How long you've worked with us? How important we are to your business?
John Gallemore: Sure. Look, so THG has been trading for over 17 years. And I would say for the first half of that period, we didn't work too much with the Royal Mail. I think if I'm being honest I found you fairly inflexible both commercially and operationally. A couple of things changed. I remember back in about 2013 and 2014, it was really by the weather one Christmas. There's a lot snow. And at that point, we feel, well, who's got the most resilient best infrastructure. And we concluded it was the Royal Mail, and we started to deal with it post that event and never looked back.
Nick Landon: Virtually all of our partners get delivered by a post beyond foot. So, how important is green delivery? And how important is what Royal Mail can provide?
John Gallemore: Your measuring carbon footprint by post calls at the minute. And that allows retailers like us to override certain rules and parameters, we have in our system. So we can give you more volume in the areas where you are more effective. So, we can all together play our part in reducing that carbon footprint. Many other areas, we can look at in terms of the way we deliver the fuels that we're use in vehicles, but you've got a really strong start point with both your network and the fact you've got the post as on foot as well.
Nick Landon: So John, you have told us how important the environment is to you and your customers how are you exposing that to them? And what are the products you're launching to those customers?
John Gallemore: Sure. Our tradition is to take a problem trying to find an innovative solution. So one that we just recently developed is THG Eco, we have acquired capability in plastic recycling. So we can now recycle all of the plastics that we generate. We've also got a reforestation supply chain, so that we are now able to invest heavily in planting more tree with trust in our supply chain. The money we invest will go into trees and get planted. So, we are looking at solutions like that internally, but then we're looking at partners like yourselves, how can you work with us to make these types of solutions happen? And that's I think, where we're really, really making it work right now.
Nick Landon: As a company for Royal Mail to work with and grow with one that's growing really fast that has the same ambitions for us for a greener world that really thinks about people and customers, it's fantastic to do business with you. And thank you so much for updating us today.
John Gallemore: It's a pleasure, Nick.
Simon Thompson: And a big thank you to John again for his collaboration on this piece of innovation. So before I wrap up, one last thing re-imagining the stamp, and we're still iterating, we're still thinking through what we can do here. We're currently testing barcodes, barcoded stamps within our operation, and they're working well. They're very good for revenue protection. It's worth noting. The questions we have is can they provide tracking, perhaps it's a tracking opportunity. And would the customer be interested in that? We're also investigating what other services a barcode could power, perhaps a premium service for certain days of the week. When we looked back at last year, it's worth noting that stamp usage grew for under 44 year olds and particularly, 18 to 24-year olds, and we thought that was interesting as well. We do want to invest resources in what customers want. We don't want to invest resources in what customers don't want. And we are very focused on more things to inform customers more often. That is what we believe in. And we'll share more of our thinking later on in the year. So just to wrap up, as I said at the start, we are reinventing Royal Mail for the next generations, and our mission is owning trust at the doorstep. We will deliver great quality for our customers. We will have a trusted environment, we will grow our business. And in terms of productivity this year we will deliver 3%-plus. As I said earlier on, in 2019 we said that we would have a 5% margin by 2024, and that is the low end of my expectation. And based on my early impressions, I think we'll achieve it sooner than that. And once that's done, we'll raise our sights again. Productivity, growth and positive gearing, it's really great to be here. I am optimistic and I am enjoying it. And we are changing and it is working. John?
John Crosse: Simon, thank you very much for that. And thanks to the whole team. We're going to move to the Q&A session now. I can see we've got some people already queuing up to ask a question. Just to say, as I mentioned at the start, Keith has had to depart for Parliament to talk railways this morning. But the rest of the team is still with us, and we'll be happy to answer your questions. So, Judith, on the line -- can we go to the questions on the line please? Thank you.
Operator: The Q&A session is now open to the telephone participants. [Operator Instructions] The first question is from Alex Irving with Bernstein. Please go ahead.
Alex Irving: Hi. Good morning and thank you for taking my question. Two from me please. First on the U.K. competitive landscape in parcels, how do you view the competitive intensity in the UK right now, following the increase in parcel volumes? And how do you judge the risk that high investment in capacity across the sector results in prices getting driven materially lower? Or alternatively how much of the increase in parcel volumes that you've seen over the last year needs to be sustained to avoid that? Second and related, how do you see Royal Mail's propositions of businesses please? What would you say to a typical potential new account customer, and especially, one who maybe starting e-commerce activities for the first time as to why they should choose Royal Mail rather than say a more premium carrier or a more low-cost one? What is it that drives their [Indiscernible] position and why is Royal Mail the right choice? Thank you.
John Crosse: Great. Thanks for that Alex. Mick, do you want to take the one around competitive intensity then maybe come back to Simon on the why would you choose Royal Mail?
Mick Jeavons: Yes, sure. I mean, it's a great question Alex. Clearly, whenever there's a growing market, as parcels has been doing now for many years, many players pile in and seek to make money in it. And we've experienced for many years now, an intensely competitive pricing environment. Year-over-year we very rarely get any material price increases in that market and the part of that is because of the capacity in the network over many years is for many months of the year, far outweighed the demand for parcels. Now clearly, the question now is, to what extent has that marketplace stepped forward? And to what extent has the -- is the step shift in parcel volumes that we experienced last year permanent? And to what extent should everyone start to further invest in order to be able to cope with that capacity? And it is a really delicate balance. Now it's not a quick process to decide you're going to build a new parcel hub, automate it, fit it out and make it operational. And we've been talking about the potential for launching the two that are in build Royal Mail for a number of years now and the first one doesn't come online till the beginning of next year. So you have to plan ahead, you have to make assessments about where the market is heading. And you have to make judgments on the economics of your investment. Now, of course, we did that. We believe we need our automation facilities to cope with the volumes actually that we already have. We're actually behind the game here. This is something we should have got on with a number of years ago. And so, in many ways, the first two hubs are there on their merits from volumes that we already have. And so, the question really for the future on further automation and further investment for us is, to what extent do we continue to grow and gain and even win sharing parcels, as the market moves forward. And others obviously in our space we'll be seeking to win in that game too. And I think the combination of those factors means, for sure, it's very unlikely that we're going to be gaining too much value from price increases in parcels in the near term. I don't know Simon if you've got anything to add?
Simon Thompson: No, I think that's fair, Mick. I think, I'd agree with that view.
John Crosse: And then, Simon, on the why chose Royal Mail?
Simon Thompson: Yes, John, it's -- and Alex, I've had the joys of speaking to many of our customers. I speak to a lot every week, along with Nick in the commercial team. What I'd say to you is that, new account customers are looking, based on my experience of 20 weeks, predominantly for four things: the first thing is the speed and ease of setting up and getting going. I think that's really, really important to them. The second thing that I see is their relationship with us, with our account team as well, so that they feel supported. Of course, there are some tickets to play, which is, we have to deliver the quality for their customers that they need, so that their business can flourish. And, of course, there's an element around price as well within that overall equation. And I mentioned it in the presentation as well, perhaps not so much new account customers going, it's those four criteria. Of course, the other things that I hear are, later acceptance times, because for certain categories of customers, they will do an awful lot of their business after 9:00 o’clock at night maybe between 8:00 o’clock and 11:00 o’clock at night for next day delivery. So later acceptance times is definitely on their to-do list for certain categories. And, of course, the one that is the growing part of interest, which is why we're now doing it, which is also the Sunday delivery as well. So Alex, I think, that sums it up. So I think in real summary, what do I think that new account customers look for speed and ease of set up, a relationship with us, great quality for their customers and of course, there's a price dynamic as well.
Alex Irving: Okay. Thank you very much.
John Crosse: Thanks, Alex. Next question I think is, Sam.
Operator: The next question is from Sam Bland with JPMorgan. Please go ahead.
Sam Bland: Yes. Thanks for taking the questions. It was a bit of a different call from ones we’re having 18 months ago. The first question I have is on these mix effects in April. I think particularly on parcels, but also on letters you had some positive price/mix effects. Just talk about what's behind that? And particularly, how sustainable are they? Are they going to persist as the year goes on? Or are they going to fade away as the year goes on? And I guess the second question is, on one hand, we've been talking about lots of near-term uncertainty, particularly on the top line. But on the other hand, then you talked about the medium-term view and you're increasingly confident on the 5% margin and then raising the target from there, what's sort of causing the confidence on the medium-term despite the -- all this uncertainty in the short-term? Thank you.
John Crosse: Thanks, Sam. Maybe, Mick, do you want to do the mix effect and then we come to Simon on the confidence around 5%?
Mick Jeavons: Yes, for sure. Hi, Sam. So mix effects in April, now, one month certainly doesn't make a year. And that's unfortunate, because, of course, the revenue growth we saw in April was really quite strong. But I think what you point to is, some quite odd dynamics starting to unfold. So on parcels, we saw volume declines, but revenue increases that were quite substantial and there was a really significant mix shift behind that. We grew in track parcels. So the increasing kind of growth in e-retail means we've got a higher mix of higher AUR tracked parcels now in there. We also have a much -- or a significantly increased share of consumer parcels. But actually, these parcels sold over-the-counter in post offices, which are actually predominantly from the e-marketplace sellers. So it is a kind of form of a smaller B2C, if that makes sense. But that also enjoys higher AURs. There's also some kind of odd dynamics in the last April, we actually had quite an influx of small like low AUR parcels from China, as China reopened and they're just not there in a similar volume this year. So there's quite a complex story behind it. And so, to the extent it will persist? Well, yes, I mean the growth in tracked I think is inevitable. That's going to be the growing sector that fuels future growth. But, obviously, in the short term, there's a potential for some unwind on some of the frost that we might have experienced in the more extreme lockdowns. And that dynamic of how much structural shift have we seen in lockdown and how durable are those behavioral changes into the future. We think a significant proportion of the behavioral shift will stick. We do though think it's going to be volatile over the coming months. We think short-term behaviors to go back to the high street for example, of probably quite understandable and that people have been doing for many months. But, I'm not sure -- maybe, I'm not the best barometer, but my experience on the high street weekend wasn't that great. And so -- and I think, increasingly people might see that, as they get out and about. You also pointed to letters which yeah, that also has some odd dynamics behind it. I mean Simon pointed to the fact, and I mentioned earlier, letter revenues actually in April are flat, with where they were two years ago. And well upon where they were on -- at the start of the pandemic last year. Now of course volumes have declined. We don't expect whether our businesses who found e-alternatives and good e-alternatives, to letters during the lockdowns over the last year. We don't expect many of those, business mail to return to sending letters, because, if they've got a working e-alternative. That will be a cheaper solution for them, in all likelihood. We do though expect some recovery in advertising, mail where we see that as really quite an effective part of campaign advertising. And so we would expect some recovery, as the economy recovers in our advertising mail strand. What's helping though is we put quite substantial price increases, in January 2021. Not in all streams, we're very granular in how we put price changes into the letters business. So advertising which is quite a fickle game, when we compete with other media, less price rises in that space. But in transactional and business mail, in some streams of business mail, price rises were put in, double-digits in January. And now of course, there's an elasticity question on prices. And it's a delicate game. We do lots of economic studies and theorizing about, what might happen. But so far, on the price increases we put in place, they've stuck reasonably well. And long may that continue.
John Crosse: Thank, Mick. Simon, you're sort of confidence over the medium-term?
Simon Thompson: Yeah. So, Hi Sam. Thank you very much for your questions. So Sam, I think you asked about the 5% and the confidence overtime. Sam, the first thing I'd say is that, we are really focusing our attention on delivering that 3% productivity this year and also delivering our CWU agreement. So I think this is -- this year is a real proof-point. But we're feeling good about. And as you heard earlier on, we're confident and feeling good about our progress. That's point number one. And what I would say to you is that, as I mentioned at the end, as we roll forward, a combination of productivity and volume will give us some positive gearing. So I think that's a really important point to note. And I think the other thing is, when I speak to along with Nick, who runs the commercial function, when I speak to our retailer, customers, there's a few things really strike me. The first thing that strikes me is they like their relationship with us. The next thing that strikes me is, they like our brand. And they like our people at the doorstep and they understand that their customers like that as well. And the other thing that strikes me is they're very, very open on, this is what we need for our business, can you please deliver it? And if you take Sunday deliveries as a for instance, and we've mentioned a couple of other initiatives here as well today, is that, when we listen and we act, they respond very positively. So I think that's my general -- that is why, I've said, what I've said. But I think again, coming back to this year. This year is our proof year. We need to be very, very focused and are very, very focused on delivering our union agreements and also delivering that 3% productivity this year.
Sam Bland: Okay. Thank you.
Simon Thompson: Thanks Sam.
John Crosse: Thanks, Simon and Thanks Sam. Next question, I think, Sathish, is next in the queue. Next question please.
Operator: The next question is from Sathish Sivakumar from Citigroup. Please go ahead.
Sathish Sivakumar: Yeah. Thank you. Thanks for the presentation and also bringing various stakeholders today. I've got three questions, actually. Firstly on the letters volume in the U.K., do you have any indication that the recent local elections, and what has been the impact on the volume, given that there has been more postal voting and campaigning is also well done through, mainly through letters? And secondly on the parcel side, just on the U.K. again, at the start of last year, you mentioned that there was about 20% excess capacity. And what are you seeing, as of today? And how does the capacity growth would look like, say in the next 12 months just in the U.K. market? And the third one, just around liquidity, obviously there has been a lot of mention about liquidity and shareholder returns today. What is the optimum level of liquidity that you want to maintain? And how does one should think about the excess cash returned to shareholders? Will it be in the form of a, special dividends? Or, will you just use the excess cash towards the future step-up in dividends? Thank you.
John Crosse: Mick, do you want to -- on Sathish's last one do you want to take that first, just around the liquidity and excess cash?
Mick Jeavons: Yeah, for sure, I mean, look, we've obviously reflected long and hard over the last period on where -- what level of conservatism should our balance sheet, have we've also been obviously staring at a business that's been showing improving performance over the course of the last 12 months. But we're still in the midst of the pandemic. We don't really know where all of that goes next. I mean, if you look back 12 months and the audit and the discussions at the Board around, viability were incredibly difficult. We had a U.K. business ready to move into material losses. And I was with the banks trying to get covenant waivers sorted out and all sorts of things, because we didn't know where the business was heading. Now of course 12 months on, we're in a much healthier position. There is still, some headwinds and uncertainty on the top line hence, we've been unable to offer guidance. And so we've been balancing these different parts, as we reflect on not only the level of gearing on the balance sheet and also the level of dividend we're able to promise and sustainably promise to shareholders. So, if I could roll forward, 12 months and we're through the pandemic, the low-end of what might happen on as COVID unwinds doesn't happen, and the revenue line is fine and we have two growing businesses. If Simon achieves the proof point with the level of change that he needs to deliver with the Communication Workers Union in terms of the productivity of about 3% in the year. And we have a kind of stable and growing U.K. business then of course, you revisit the level of prudence that you have on the balance sheet given the risk environment that you can see. And so yes we are comfortable. We're also very aware that there's a good argument that we shouldn't be too comfortable because the level of conservatism needs to be robust. It needs to be valid for the environment, for the business is in. But it can't be a lazy comfortable. It needs to be -- there needs to be a discipline to deliver in the business that to some extent receives more pressure in then maybe more substance to our ability to change if we have the pressure of the balance sheet as well. So we're very conscious of all these moving parts. But we're comfortable where it is today. As we move forwards, of course, if the businesses can deliver and deliver quickly on their potential then we'll revisit how returns are made to shareholders. But I think we need to get through the next phase first. I think £0.20 is a -- in some lens, it is potentially modest, but it's a step-up from where we've been and we are pleased to be able to announce it. We do think it's a statement of some confidence in where we're heading. But it's also -- it also notes that there's some maybe unstable times ahead over the next six to 12 months. So it's been a balancing act and we'll continue to revisit it as we go through the next period.
John Crosse: Thanks Mick. Simon?
Simon Thompson: Yes. So John on the letters U.K. volume and the local elections mix, we did see a step-up in postal voting. John, I actually have the answer to that question. I just don't know if it's public domain information, all right? So if you don't mind rather than be answering that and getting myself into bother, if we can -- I do have the information but I'd rather not share it you publicly until we have checked if that's okay. We can follow-up after the call. If that's okay.
John Crosse: Yeah. No that's fine. But you're right Sathish, it was a slightly bigger tailwind than normal from a local election. On the…
Simon Thompson: Thank you. I think we should add that it's not in the same scale as a general election.
John Crosse: No indeed.
Simon Thompson: In terms of calibration.
John Crosse: Yeah. And then the third question Sathish was around the capacity. I think we had commented a couple of years ago around 20% excess capacity in the U.K. at non-peak times. I don't know…
Simon Thompson: I mean that was a lot -- I mean it was a good time.
John Crosse: It was a good time yes. 
Simon Thompson: And I think everyone will need to recalibrate based on what we've seen in the last 12 months. And, of course, the question that there are various different answers to in terms of how much of the volume you saw last year will stick will be a key feature as to what ultimately plays out. What I would say our own experience last year was far from one of a year where we had spare capacity during the course of the year. We were running at what would normally be considered Christmas and autumn pressure volumes all the way through the course of the year. And so we were full all year and we were investing in additional sortation capability and additional properties through the course of the entire year. Now it will depend how things stabilize, because certainly in a more normal times if you don't have to go back to the year before, networks were calibrated to cope with the peaks and a quieter times of the year. For sure, pricing was really keen and people were trying to fill up networks that certainly had a lot of their capacity around. So we don't -- I just don't know what a revised answer to that 20% assessment would be today. But clearly from our perspective as said earlier, we're behind on automation, the investments we're making in capacity for parcel sortation is investment that should have been made a number of years ago. So we're very clear that what we're doing now is correct. The question about what else we should do, I think is a question for the future.
John Crosse: Sathish thanks for that.
Sathish Sivakumar: Yeah. Thank you.
Simon Thompson: Thanks.
John Crosse: Next question I think it's from Cristian. Next question please.
Operator: The next question is from Cristian Nedelcu with UBS. Please go ahead.
Cristian Nedelcu: Thank you very much for taking my questions. Three quick ones if I may. First of all in U.K. field, it's been very helpful to have the OpEx bridge for this year. But could you help us on the OpEx bridge for the mid-term? And here in particular, I think we still have -- so at the end of this year, we still have quite a bit of COVID costs in there conveyance costs as well as the almost £300 million handling, parcel handling cost in there. We also heard Ofcom talking about meaningful cost savings. So I guess could you give us a bit of color on the shape of the OpEx over the mid-term in U.K. field? Secondly, we are up three weeks in May. Could you give us a bit of color what happens to U.K. parcel volumes? And I'm asking because this month we have the shops open for the entire month, also your comps are a bit more difficult in May than they were in April. So is it fair to think 10%, 15% parcel volume declines. Can you give us any color there? And lastly, a bit more structural question I guess on -- about parcel lockers in the U.K. We're seeing your competitors either Amazon either imports talking about a strategy to invest quite heavily in parcel lockers over the next few years. I guess, can you tell us what's your strategy there? And in particular what do you think will happen to pricing in parcels as more and more lockers come in? Thank you.
John Crosse: Okay. Thanks for those Cristian. I was going to come to Mick first, I was just going to say on the sort of May UK parcel volumes, we are still only a couple of weeks into May. And we have said in the release this morning that we will actually given -- we recognize that there is still some uncertainty this year, we will come back to you a bit more regularly this year on the volume and revenues to try and help you out. But again, things do move week-on-week, so we try not to read too much into it, but we did think the April might be useful just as a further data point. But on the mid-term OpEx bridge, Mick I was going to come to you, and then maybe Simon if you want to pick up the parcel lockers point?
Mick Jeavons: Yes. I mean the moving parts to think about on OpEx were on the slide 22, where we did talk about some of the moving OpEx blocks to think about as we move forwards, which we thought was important to give a feel for what might move on the cost side in the absence of any clear guidance on the top line. So what I've kind of laid out is to the left-hand side is of that slide are the items that are already changes that we see on the OpEx side. So we delivered the management restructure in the last year. There's a run rate saving associated with that and the restructuring charges associated with it won't repeat. We have an ongoing cost reduction program in our non-people costs where there's a kind of flow through benefit from the back end of next year of 35 already delivered. And of course, we've got a moving pay cost. But we did to deal with the Communication Workers Union back in January and the costs of that clearly will therefore increase into the next 12 months. The next block though and the blocks beyond that are kind of slightly more movable. We're talking about delivering more than £100 million of benefits from the pathway to change deals. So this is the changes that Simon talked about £60 million from revisions in our units £40 million as benefits from the IT, the operational management IT systems that we're deploying, so, over £100 million being targeted there. And as we move forwards into the kind of medium-term that kind of managing that efficiency and productivity gain in the way that we utilize our people and the way that they deliver the tail and sort the mill against the costs of pay inflation is quite an important dynamic. And what we're not trying to do this time is to give -- make too many long-term promises on that. As Simon said, this year is about proving that we've got back on the horse and we are now starting to change the business again, and so targeting 3% plus of productivity this year, £100 million plus of benefits will be a big step forward from where we've been for the last three or four years. And so if we can deliver that, build trust with our workforce almost get a new medium-term deal with our people in place at the end of the year, then that will bode well for that dynamic between pay and productivity and change. Obviously, we talked about costs of COVID in the last year. That was driven by higher than usual absence levels, and clearly that will be a focus as we move into the New Year. It also has been driven by social distancing, so the fact that we've not been able to share vans on our final mile -- many of our final mile delivery routes. So to the extent of which that we can remove that cost during the next year. Clearly, to some extent it's going to be linked to government guidelines and what -- where they go and how that timing of the timetable to kind of a new normal unfolds. But of course, it's also incumbent on us to take those costs out quickly and efficiently as soon as we're able and that's absolutely front of mind for us. There's then some kind of cost pressures going the other way. I think the main one to focus on there is Simon's drive to improve quality and convenience for customers. So we have put on the slide a kind of circa £90 million investment and that's a combination of not wanting to repeat some of the failures that we saw last year. And so delivering what we talk about as being pre-COVID quality in a COVID world, and that's something that we're absolutely committed to doing. But also accepting parcels into our network later in the day, starting to deliver parcels on Sunday that we're already doing. Now to some extent some of these investments about standing up a network later in the day or standing up a network on Sunday, the investment to some extent comes ahead of the revenue, but they are inevitable directions of travel for our industry. And they are services that we are absolutely going to need to be able to be offering to grow and win in what is as we've already talked about an incredibly competitive space. So, I don't know Simon if you want to add to that? 
Simon Thompson: No Mick I think that's really good summary. That's a really good summary.
Mick Jeavons: So I hope that gives a flavor as to the main kind of building blocks of change. 
John Crosse: Simon, do you want to pick on the lockers question?
Simon Thompson: Yes, I will do. Cristian thank you very much for your question. I think Cristian the way that we think about this is what is it that the customer wants? And our experience is that the customers don't want to wait in, which is please give us a window when it is that you're going to do that delivery. But I think they also don't want to go out which is if you can bring it to us where we are then we'd feel really good about that. I think the other thing to also bear in mind and I talked about it, our real fixation is the doorstep, and really getting that doorstep experience right in terms of taking things to and bringing things back from the doorstep. We've got 26 million points of distribution if you look at it that way. I think the other thing as well to bear in mind a combination of our post boxes our parcel boxes our delivery offices and also our customer service points. I think we've got some real good points of distribution there. And in terms of our customer service points we are having a look literally now and we're doing some trialing as we speak about different opening hours for those customer service points to make sure they really meet the needs of the customer. On your second point I don't have a view on pricing of parcels over time nothing that's really shareable for today. So, I can understand Cristian why it is that others might think that lockers are an attractive option. I think if I look at all of the things that we have and I listen to the customer need I don't think lockers is really on our agenda as we speak.
John Crosse: Right I can see four people left in the queue. We've got about 10 minutes left. So, if we if I could ask the next caller who is coming up if you could stick to just two questions as a max that would help because I want to try and get through everybody before we time out. So, I think Alexia is next.
Operator: The next question is from Alexia Dogani with Barclays. Please go ahead.
Alexia Dogani: Thank you very much for taking my question. firstly on the e-commerce growth. I mean after the market normalizes clearly the Sunday volumes product parcel Collect instant pain relief is kind of positive products you're introducing. I guess can you talk a little bit of how much growth can these deliver. And ultimately, once you kind of transform the business, what should the Royal Mail medium-term revenue growth be the same way that GLS have talked about kind of 12% CAGR? So, that's my first question. And then just secondly, in terms of the efficiencies that you are targeting to deliver this year of kind of 3%-plus productivity, how dependent are they on the network remaining well utilized? And yes just any kind of color on that that would be great. 
John Crosse: Okay. Thanks Alexia. Should we take the should we just go back and take the first one first then around sort of e-commerce and the sort of potential there that we're looking at and then maybe come on to the efficiency piece Mick? 
Simon Thompson: Yes sure. I'll take the e-commerce one. If that's all right John. Hi Alexia, I hope you are well out there. Alexia I'll take through the things that you said. In terms of Sunday, as I said, it's something that we're starting to scale up. And I guess my point that I made without going into actual numbers is that Sunday is one of if not the biggest week day of the week for High Street retail. So, I wonder where we'll get to in terms of deliveries to people's homes. So, that's a Sunday one. But we're scaling and we think that that's really interesting. In terms of the instant pain relief well you heard from Mark, I mean, Mark from Pharmacy2U and the things that we've seeing so far we saw that market double year-on-year. So, the question is, is how much will that continue to grow? But again that's why we're doing the trialing and I think we'll have more to share as we go through the year. And in terms of the parcel collect piece, I think the proposition is new. I think it's really interesting. I think that as I said is that if you've got the choice between getting in your car, driving, parking, and queuing versus someone actually collecting it at your door I think again that's a third -- really interesting. And just to give you a little bit of sense. In terms of Parcel Collect, a third of our customers are marketplace customers, a third are returns, a third are consumers that are using the service. When we do promotional activity it lifts up the volumes and the interest by around about 25%. And we're already seeing 39% repeat purchase of the actual service which is growing over time. And those people that use that service four out of five of them are very or extremely satisfied. So, again, your judgment will be as good as mine. I think these are definitely opportunities which is why we're scaling and we're trialing I'm sure we'll be able to share more as the year goes on. And yes we'll share more as the year goes on.
John Crosse: Thanks Simon. Mick on the pick up? 
Mick Jeavons: Yes. The productivity question is a really good one. I think what our operators would say is a 3% productivity improvement is easier to deliver in a growing business than it is in a declining business because one involves introducing new cost efficiently; the other one it involves cost reduction and of course cost reduction when the cost reduction is people and take-home pay and overtime it is much more difficult to secure and it leads to a more kind of difficult and more frictional environment with our people. So -- but the commitment there is to improve the balance of our resourcing and how it's matched to the workload in all of our offices as Simon said, ahead of the shorter working week going in later this year and the 3% improvement is the target. And obviously we've based that target and that assessment on the set of projections. But the challenge for the operators is to make sure that productivity gain is there almost irrespective of what the level of workload is. So, it's a good question. And the answer is depending on what happens, it will be easier or harder to achieve. 
John Crosse: Okay. Thanks Alexia. I think Alex is next. 
Operator: The next question is from Alex Paterson with Peel Hunt. Please go ahead.
Alex Paterson: Good morning everybody. Two questions for me please. Firstly, you mentioned that in April last year you had a lot of low AUR parcels in from China. Can you just say for Royal Mail as a whole how different the April AUR was to the rest of say the first half? And secondly, I'm not quite sure I understand on the Ofcom fine side why you've made a provision, but you're not saying that you're going to pay it. If I understand correctly Ofcom has ruled against you the competition of Hills tribunal ruled against you and they dismissed your claim on every account. The court of appeals has now dismissed your claim. Why do you think the Supreme Court will give a different response if you go there? Do they look at something completely different? Or is there a different process or something? And then why do you think Whistl's claim is without merit? Again. is it based on something other than what Ofcom has ruled on or has opined on? I don't know if you can explain I mean obviously it's forward-looking analysts surely, we should be putting in that your paying the fine and you paying a settlement to Whistl and/or losing a case against them unless it's on a different basis? 
John Crosse: Okay. Thanks Alex. I think on the China import AUR. I think rather than going to a specific month AUR, I think Mick was making the point that if you look at broadly the mix in April clearly imports are a low or lower AUR product for us and we did have a quite high-volume coming in particularly from China as China was actually unlocking at that stage in April 2020. Some of that I think have been stuck in the supply chain during their lockdown restrictions earlier in calendar 2020. So that was the point. It was more of a mix effect rather than looking specifically at a month AUR which I think probably isn't so helpful. But on the Ofcom fine, Mick do you want to take that one? 
Mick Jeavons: Yes. I mean the reality on the Ofcom fine, I think is that is payable as soon as we receive the trigger from Ofcom to pay it. So yes, I think you should expect us to be paying the Ofcom fine. In terms of any further claim from Whistl that's a different set of circumstances. And so, we'll have to establish what the claim against us is and assess that claim on its merits when and if we receive it. But there's a very big difference between a technical judgment on what behavior or an event might have happened 7, 8 years ago and any consequential or causality of any impact on Whistl because whatever happened in relation to the pricing and issues that is alleged and has been found against us by -- in a couple of places now. Whatever happened was that they were actually prices that never came into the market. So they were actually never charged to anybody and that's the kind of technical point or one of the technical points that we think has some merit because it's an infringement of competition law even though these prices were never charged to anybody. 
John Crosse: Okay. Thanks Alex for those two. Moving on I think Arthur is next. 
Operator: The next question is from Arthur Truslove with Crédit Suisse. Please go ahead.
Arthur Truslove: Thanks and I appreciate. My first question just on letters. Clearly revenues were down 5% in the second half of FY 2021. Are you able to give us sort of how much -- kind of give us an idea of how much of this you kind of view as having been exceptional things like extra Christmas cards that kind of thing? And sort of following on from that. Looking at April 2021 versus 2019 are you able to confirm whether the marketing mail was higher in 2021? And then similarly on the parcel volume is up 32% year-over-year, what do you think is the kind of normalized figure in a similar amount to what you laid out for GLS and if you can't be precise is there a range that you think is reasonable? Thank you.
John Crosse: Thanks, Arthur. I think you slipped in three or four then when I asked for two, but well done on that. Mick, do you want to?
Mick Jeavons: Yeah, yeah, look on letters what we do know is -- what we hope there were no Christmas cards in April and revenues were flat with where they were two years ago. And so now that's not to say, we expect revenues to be flat this year with where they were at in 2019 for the full year. But what I just point to is quite an odd dynamic, because for many years year-over-year, we've seen letter revenues decline. Volume declines that actually pre-pandemic, it stepped up to what we expected to be more from -- what we talked about a 4% to 6% letters volume decline than we expected that has stepped up to more like a 7% or 8% decline, even before we moved into the pandemic. Now what we've been doing in more recent times is pushing the -- or pulling the price lever slightly harder than we were earlier in the decade. And that is bearing some fruit in helping us stabilize the revenue decline versus the volume decline. And we've done that again in January of this year, as I mentioned earlier and so far so good. But that's not a suggestion that we believe that that's going to be true for the whole year because behaviors change. And in terms of advertising now, we've not given the analysis behind the monthlies in terms of what the mix changes are. On parcels, we -- it won't surprise you to hear that we've spent most of the last 12 months chewing over what we think is happening in both parcels and the letters space actually in terms of to what extent are the behavioral share temporary features of lockdown versus permanent changes in consumer behavior such that the volume switch is permanent more durable et cetera. And the reason we've not done and not called a kind of figure in the same way that GLS has in the U.K. business is, the U.K. business is just more complicated. And the parcels revenue and volume stream is a mix of businesses sending parcels, but also consumers and small e-marketplace sellers sending parcels. And there's nothing that says those different markets move in the same way or will have the same permanency to them. And at the same time, we have letters as well as part of the mix which goes traditionally in a different opposite direction to parcels, but not always as has been as our experience through last year, when at the back end of last year the real fuel behind the accelerating revenue growth was sustained high parcel volumes, but also a recovery and an improvement in the letter revenue number. So it's just harder to call in the UK, which is one market in some ways, it's the UK, GLS has a portfolio effect, it has a more standard and simple customer base and products offering and they felt confident to make a judgment in this space that we've stood away from on the UK business.
John Crosse: Okay. Thanks, Arthur. And I know we were overrunning by a couple of minutes, but Sumit has been waiting there very patiently. So last question. Sumit, you're next.
Operator: The last question is from Sumit Mehrotra from Societe Generale. Please go ahead.
Sumit Mehrotra: Thank you very much. Very quickly slide 22. You've mentioned that tailwind I see from lower COVID and conveyance cost is just £100 million for this year, whereas I see it's £221 million for us for the year gone by. So why are you penciling in a lower tailwind I'm wondering? Secondly, on slide 45, the most important one for me. That you're just seeing £100 million benefit from the measures from the CWU. Could you please one highlight what are the two or three activities that need to fall in line this year to deliver this?
John Crosse: Okay.
Sumit Mehrotra: And how do I quickly -- yeah, and how do I compare this with a 3% productivity gain that you have in mind for this year? Why just -- I mean £100 million gain here, but 3% for productivity, how do I square this? Thank you.
John Crosse: Okay. Thanks, Sumit. I think that was three again, but you've been waiting a long time. So that's fine. So in terms of the COVID tailwind, Mick, do you want to take that one and maybe Simon talk about CWU agreement? So Mick, do you want to... 
Mick Jeavons: Yeah. Look we -- the COVID cost unwind, ultimately it will be what it will be and it will be hooked into how regulations UK guidelines change through the course of the year and we'll see. On the costs of COVID in the UK operation, as I say, they are linked very closely to absence levels, they're linked to social distancing, they're linked to PPE et cetera. And look some of those costs might end up being, if not permanent, at least there for the medium-term, even if where the restrictions are relaxed I would expect probably the provision of PPE at some level to be retained, if not through the summer or at least into the autumn and winter of next year. So I think there'll be a base of costs that we need to keep and there'll be some costs that we can improve on. And the £100 million is almost a illustrative number. It may be lower than that. It may be better than that. And we'll see as we go through the year. It's a building block of our year that we're very focused on. I mean these are aspect to the costs that we've experienced has been the overseas conveyance costs. So the increased costs of airfreight, as we export mail overseas. And we don't see those costs coming down anywhere near as quickly as maybe the government will relax restrictions in the UK. So it's a balance and we'll report on it as we go through the year.
John Crosse: Thanks, Mick.
Simon Thompson: Yes. So Sumit, the quick answer to your question is, of the £100 million, the around about £60 million of it is attached to revisions across delivery and processing. I give you for instance in terms of deliveries that's changing the walks, changing those individual walks and making sure that they're done in the most optimized way. And of those, revisions there'll be 1,286 of them done in the delivery environment this year. So revisions is that part. And of the £40 million, as I said it was driven through technology that is using a resource scheduler tool, so making sure we have the right resources in the right place based on the workload and also the implementation of scan in and scan out technology as well. So they are probably the key buckets I think John.
John Crosse: Yes. Great. Thanks, Simon. And I just could say Achal from HSBC had a technology failure and got kicked off, he was in the queue. He's just reappeared back. So Achal, if you just want to come through quickly and just ask your questions?
Operator: There is a follow-up question from Achal Kumar with HSBC. Please go ahead.
John Crosse: Sorry about the technology problem Achal, but go ahead.
Achal Kumar: Yes. I was thrown out of the call. So I'm not sure if that question is just a repeat or it's already answered but – so I want to answer – sorry understand about the improvement from the hub, which you are going to launch in 2022 and 2023. So what sort of improvement you see overall, as you rightly said that you'll be able to accept the late deliveries for the next day – well, late parcel for the next day leaves? So – and I'm sure that must be higher charges and all those sort of things, so how do you see the overall improvements to your profitability to your return on invested capital? You're investing a lot in these two hubs, so how do you see the overall returns improving because of these two hubs? And how that will improve your competitiveness in the higher-end products. So that is first thing. Secondly, I also wanted to understand in terms of letters business because you're cutting your investments, you're reducing your resources, so how that would improve your returns for the overall business while you're cutting your resources, you're cutting your investments in the letters business, so overall how do we see in terms of your return on invested capital improving for the business? Thank you.
John Crosse: Yes. Thanks, Achal. Yes. Well it certainly is about capacity and improved quality of service and other things as well. I don't know, Mick, if you want to just pick that one up? 
Mick Jeavons: Yes. I mean look, we're not giving the economics of the business case. The investments are long needed investments in our ability not only to cope with the capacity required to handle the number of parcels we expect to have but also to handle them with the quality and the speed that we need to service the increasing demands of our customers. So the investments are necessary for us to be effective in the Parcels business, as we move forwards. Now of course, as we replace manual sortation of parcels with automation capability there is an opportunity to remove costs. And that will be a part of the business case as will our ability to service more customer demands and increase customer demands more effectively. So we're not – but we're not giving the return on investment of the case at this point.
John Crosse: Okay. Thanks Mick. And with that we'll draw it to a conclusion. Thanks Achal. Sorry about the technology issues we had. So thanks for your question. So thanks to the team here in London to Simon and Mick and Martin, as well. And just wanted to say also thank you to the other people you've heard from today, thanks to Jess in Swindon and Anna in Sale, Terry of course from CWU and our partners Pharmacy2U and Hub Group. Myself and Anna, the IR team of course are here to answer any other follow-up questions you have. So do feel free to get in touch. Other than that I wish everyone a good morning and we'll speak again soon. Thank you.
Simon Thompson: Thank you.